Operator: Ladies and gentlemen thank you for standing by. Welcome to the Third Quarter Earnings Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we'll conduct a question-and-answer session, (Operator Instructions). As a reminder, this conference is being recorded Wednesday, July 2, 2014. I would now like to turn the conference over to Steven Sintros, Chief Financial Officer. Please go ahead, sir.
Steven S. Sintros: Thank you and welcome to the UniFirst Corporation conference call to review our third quarter results for fiscal 2014 and to discuss our expectations going forward. I’m Steven Sintros, UniFirst's Chief Financial Officer. Joining me is Ronald Croatti, UniFirst's President and Chief Executive Officer. This call will be on a listen-only mode until we complete our prepared remarks. Now, before I turn the call over to Ron, I would like to give a brief disclaimer. This conference call may contain forward-looking statements that reflect the Company's current views with respect to future events and financial performance. These forward-looking statements are subject to certain risks and uncertainties. The words anticipate, optimistic, believe, estimate, expect, intend, and similar expressions that indicate future events and trends, identify forward-looking statements. Actual future results may differ materially from those anticipated, depending on a variety of factors; I refer you to our discussion of our Risk Factors in our most recent 10-K and 10-Q filings with the Securities and Exchange Commission. Now, I will turn the call over to Ron Croatti for his comments.
Ronald D. Croatti: Thank you, Steve, and welcome to all of you joining us for the review of UniFirst's third quarter financial results for fiscal 2014. I’ll first provide a brief overview of our performance and I’ll turn it back over to Steve to fill you in on the details. I am happy to report that UniFirst's revenues for the third quarter of fiscal 2014 sets another all time quarterly record coming in at $352.2 million. This was 4.9% increase over the $335.8 million reported for the same quarter in 2013. Net income for the Company was at a new third quarter record, achieving $30.9 million was a 7.7% improvement over the $28.7 million reported for the same period last year. Our core laundry operations, which make up approximately 90% of UniFirst's total business, led the Company's positive performance during the quarter with revenues setting a new third quarter record and increasing 5.2% over 2013s third quarter. Similarly, operating income for the laundry operations set a third quarter record again, improving by 10.3% when compared to the same period last year. We are pleased with UniFirst's third quarter financial results and the collective performance of our 11,000 plus team partners. Our sincere gratitude goes out to all the members of the UniFirst family who continually get their job done day in and day out who are ultimately responsible for continued success. As for organic growth, it's our professional sales organization that remains the driving force which is why we continually invest in our sales team, their training their productivity tools. That said, new sales and sales rep average for the third quarter, also year-to-date were up over the same period of 2013. Likewise, customer retention rates for the quarter were up slightly over the same period last year, which aided in our growth and our profitability results. Our specialty garment division, which is made up of our specialized nuclear clean room operations, also bounced back to a small degree from the challenges of recent quarters contributing to the positive results for the quarter. As we look forward to the fourth quarter and to fiscal year 2015, I feel it is important to reiterate some cautionary points from our last webcast. As mentioned last quarter, we expect UniFirst to be challenged, like many companies, with the impact of the Affordable Care Act, as well as the implementation and deployment of our Unity 20/20 Project which is overhauling our CRM and service systems to improve efficiencies companywide, and to maximize capabilities in our service operations. But as always, we will continue concentrating on those business factors that are within our control to help maintain long-term growth and returns. UniFirst was built upon a founding business philosophy and focuses on the promise the customer is truly number one and is always treated as such. This philosophy remains firmly in place today, so we expect our team partners throughout the U.S., Canada and Central America and abroad to remain committed to providing only the highest quality products and customer service thereby helping to improve customer retention, client referrals, new account sales, and ancillary service sales to existing customers. Our local sales reps, as well as our national account reps, will continually strategically target strong growing industries and other opportunities in a professional consultative manner. They will continue to approach business that currently utilizes employee uniforms and also those that do not yet engage in managerial core programs. We call these folks no programmers. And I'll continue to communicate to prospects the bottom line, long-term value of UniFirst's service programs delivers to its customers. Operationally we remain committed to cost control and creative management in everything we do to protect the bottom line, but never to the point of sacrificing service levels or product quality to our customers. All investments will remain limited to those that improve our service and our operational efficiencies. As for acquisitions, we continue pursuing any complementary businesses that meet our criteria and make good sense for UniFirst. And when it is all said and done, we fully expect to continue with our long-term track record of success and long-term return to our shareholders. And with that said, I will turn it back over to Chief Financial Officer, Steve Sintros, for more details on the third quarter of 2014.
Steven S. Sintros: Thanks, Ron. As Ron mentioned, third quarter revenues were $352.2 million, up 4.9% from $335.8 million a year-ago. Net income of $30.9 million, or $1.53 per diluted share, was up 7.7% from $28.7 million, or $1.43 per diluted share in the third quarter of fiscal 2013. Revenues for the quarter in the Core Laundry Operations were $313.3 million, up 5.2% from those recorded in last year's third quarter. Excluding the negative impact of the weaker Canadian dollar, as well as the positive effect of acquisitions, revenues grew 4.8% for the Core Laundry Operations. Growth was driven by solid new account sales, slightly improved in retention rates, as well as the impact of annual price increases. Although wearer additions versus reductions were negative for the quarter as well as year-to-date, they are improved compared to a year-ago. This segment's income from operations grew 10.3% compared to the third quarter of fiscal 2013. Its operating margin was 14.2% compared to 13.6% a year-ago. Operating margins improved primarily due to lower merchandise costs as well as expenses related to our plant operations and certain administrative costs. These lower costs were partially offset by higher healthcare claims and energy expense during the quarter. Energy costs for the third quarter were 5.6% of revenues, up from 5.4% in the third quarter of fiscal 2013. The current quarter profits were also impacted by higher legal and environmental costs compared to a year ago. The current quarter included a $0.5 million charge related to increases in interest rates used to discount our environmental liabilities. In addition, we incurred higher legal costs related to the ongoing litigation surrounding the New England compounding center matter. The impacts of these higher costs were partially offset by expected insurance recoveries accounted for during the quarter. Revenues for the specialty garment segment, which consists of nuclear decontamination and clean room operations, were $27.6 million up 4.9% from $26.3 million in the third quarter of 2013. This increase was primarily the result of a higher number of power reactor outages in the U.S. and Canada compared to a year ago as well as an improved performance from this segment's clean room operations. This segments income from operations for the quarter increased to $4 million from $3.6 million in the comparable period of last year. First Aid segment revenues decreased $3.4 million to $11.3 million in the quarter, compared to $11.7 million a year ago. Income from operations for this segment fell to $1 million in the quarter from $1.9 million in 2013. Lower revenues related to large retail customers served by this segments pill packaging operation contributed to this segment's shortfall compared to a year ago. The effective income tax rate for the third quarter of 2014 was 38.3% compared to 37.3% in the third quarter of 2013. The lower effective tax rate a year ago was a result of the reduction of tax contingency reserves related to statute expirations, as well as the completion of a federal IRS audit. We continue to expect our full-year fiscal 2014 effective income tax rate to be approximately 38.5%. UniFirst continues to maintain a solid balance sheet and financial position. Cash provided by provided by operating activities for the first nine months of fiscal 2014 was $132.3 million down 5.2% compared to $139.5 million for the first nine months of last year. The reduced operating cash flow was primarily the result of a higher level of investments in merchandise and service compared to a year ago, as well as the timing of certain accounts payable payments at the end of the third quarter. Cash and cash equivalents at the end of the quarter totaled $151 million, down from $197.5 million at the end of the fiscal 2013. This decrease was the result of the September 2013 repayment of $100 million in private placement notes that came due. Of our cash on hand, $61.3 million has been accumulated by our foreign subsidiaries and is intended for future investments outside of the United States. The Company also continues to have significant capacity under its existing bank line of credit to fund potential acquisitions or other capital allocation options. Capital expenditures for the first nine months of fiscal 2014 were $74.5 million. We continue to invest capital in our Unity 20/20 systems project. So far this year we have capitalized $11.5 million related to this project. We also continue to invest in plant updates, expansions and automation that will allow us to achieve our long-term strategic objectives. We continue to expect capital expenditures in fiscal 2014 to be between $90 million and $100 million. Year-to-date the Company has not expended any significant capital on acquisitions. We continue to look for additional acquisition targets as they remain an integral part of our overall growth strategy. At this time, we would like to provide an update regarding our outlook for the remainder of the year. Based on our results year-to-date, as well as our outlook for the fourth quarter, we now expect fiscal 2014 full revenues to be between $1.382 billion and $1.387 billion, and full-year diluted earnings per share to be between $5.70 and $5.85. As a reminder, fiscal 2014 will be a 52-week year for the Company compared to fiscal 2013 which was a 53-week year. The extra week occurred in our fourth quarter of 2013. The negative comparison of one less week of operations will have the impact of reducing our year-over-year revenues by approximately 2% and our fourth quarter revenues by approximately 7.1%. We also want to remind you that the fourth quarter profits of 2013 were also higher due to the extra week of revenues. In addition, our results of operations for the fourth quarter of 2013 benefited from reductions in reserves of workers' compensation and other insurance-related liabilities of approximately $2.3 million due to changes in third-party actuarial estimates. No such adjustments have been built into our current year guidance. Last quarter we discussed in our earnings call the projected impact of the Affordable Care Act on our results in fiscal 2015. We continue to project, as we communicated last quarter, that the combined impact of the Affordable Care Act's requirements, normal annual increases in our healthcare costs, and other changes in employee benefit programs would likely pressure our operating margin between 35 basis points and 65 basis points in fiscal 2015. Again, we want to stress that this range relies on numerous estimates and assumptions that could cause the actual results to vary materially from this range. We also would like to continue to update you on our Unity 20/20 systems project. As we discussed last quarter, we currently don't anticipate beginning deployment of this system to our locations before the second half of fiscal 2015. As we’ve mentioned previously, the increased expense to our operations once deployed will primarily be the results of incremental depreciation related to the new system that we currently estimate will be between $6 million and $7 million per year once fully deployed. We also expect to incur increased cost associated with the training and deployment efforts for our new system in fiscal 2015 and 2016. We will continue to update you on the status of this initiative in future earnings calls. Although we do not give guidance regarding our next fiscal year this far in advance, we do want to continue emphasizing that the impact related to the Affordable Care Act, as well as the deployment of our Unity 20/20 system, are real costs that will affect our results in fiscal 2015. We recognize there is a fair amount of uncertainty and variability around our estimates regarding the ACA, as well as the timing and cost impact of our Unity 20/20 system. However, we want to make sure that the external expectations around fiscal 2015 are taking these items into account. We will continue to update you on these items in future quarters. This completes our prepared remarks and we'll now be happy to answer any questions that you may have.
Operator: (Operator Instructions) And our first question comes from the line of Justin Hauke with Robert W. Baird. Please go ahead.
Justin P. Hauke – Robert W. Baird & Co., Inc.: Good morning, guys. I guess the rental was straightforward. It was nice to see the sequential improvement. But I guess I wanted to ask on specialty garment, since that was a little bit better than expected, what’s your outlook now for I guess profitability for the year? And then what does the pipeline look like for outages as we look into 2015? I think previously you were looking for $8 million in profit from that segment for the year. I guess – yeah.
Steven S. Sintros: Yeah, so that – I think that is still more or less in line, Justin. The second quarter was disappointing for that segment. I would say this quarter came in maybe slightly higher than our expectations, but really not that much. We always expected the third quarter of this year to be the best of the year and it likely to exceed last year's. Due to the miss in the second quarter I think we were somewhat cautious around that but it wasn't overly surprising. So I think that number that you know $8 million for the year is still a reasonable target I think for that segment.
Justin P. Hauke – Robert W. Baird & Co., Inc.: And just as we look at 2015, I mean broad picture. I mean the outage activity, is it a normal year or are there headwinds that you are looking at for next year as well?
Steven S. Sintros: Right now it's probably a little early to kind of pin that down. We haven't met with our management team to kind of do the annual forecasting. I they were hopeful that maybe in the later part of the year there would be some pick up, but until we kind of sit down with them and come up with the formal forecast we are probably hesitant to kind of really commit to that. So right now I would probably similar to this year.
Justin P. Hauke – Robert W. Baird & Co., Inc.: Okay. And then I guess my next question is just on CapEx. Can you remind us as we move into next year, especially once the Unity 20/20 system comes online, how much maybe incremental CapEx you are expecting to invest next year in the system? I think it’s what, $12 million so far this year. I guess just kind of your CapEx expectations broadly as we look into next year.
Steven S. Sintros: This year we’ll probably end up in that $15 million area. It probably will be somewhat less next year, but it is not going to be – it is not going to fully trail off. Certainly for the first half of the year we will probably continue on the same run rate. And then part of the investment in the system is putting handheld devices in our route drivers' hands. And so, there is investment related to that that will come in as we are deploying the system. And so, that will continue to have some impact next year as well. And when we get to year end we’ll give a little bit more insight into that but I don't think you certainly can't take the $15 million off of next year’s projected CapEx, maybe back it off slightly.
Justin P. Hauke – Robert W. Baird & Co., Inc.: Okay. And then I guess just my final question here, just kind of a housekeeping one. The decline in payables this quarter – was that timing related or was there anything specific that kind of drove a big balloon payment or something like that?
Steven S. Sintros: It was really related to a monthly payment that we make related to some purchases that we do on our corporate account. And just based on the way the fiscal month went and the timing that we make those payments, it fell before – slightly before the end of the fiscal quarter. That will likely revert back next quarter, Jus.
Justin P. Hauke – Robert W. Baird & Co., Inc.: Great. Okay, thank you very much.
Steven S. Sintros: Thank you.
Operator: And our next question comes from the line of John M. Healy with Northcoast Research. Please go ahead.
John M. Healy – Northcoast Research Partners LLC: Thank you. I wanted to ask a big picture question for you, Ron and Steve. When I look at the margin progression of the Company over the last few years, it has been fantastic. And even despite the one less week your margins are still going to be in the mid-13%s this year. As you look forward for the next few years of UniFirst, once you get Unity 20/20 implemented, once you digest some of the costs associated with ACA. Where do you think kind of the normalized operating margins for your business should be say if you are a uniform rental company in kind of that $1.5 billion to $2 billion kind of range? Where do you think your margins would kind of potentially shake out in a normalized period?
Steven S. Sintros: Yes, we are probably hedging a little bit here, John. But until we see the impact of those two items that you mentioned. I think depending on the impact of those items we would like to stay in the 12% plus range. That’s not saying that's our guidance for next year because there's a lot of factors that are going to go into that. But kind of longer-term I think that is a reasonable place to be, maybe a little north of that. And then I think we still have work to do making some investments in the markets that we have underperforming locations. And that could help move the needle from there if we were able to make the right investments and the right improvements, whether it be acquisitions or continuing to sell business in the markets we are not strong in, to take those margins and help move the entire needle up. It's really partially what we've done over the last couple years and we need to continue to do move the overall needle.
John M. Healy – Northcoast Research Partners LLC: Great, and as I think about your statements regarding ACA and thinking about the Unity expense coming on in the second half of fiscal 2015. I mean, are we right in thinking that operating margins on a year-over-year basis likely to be at best flat next year, most likely down a little bit? Is that a fair message to conclude from some of your statements?
Steven S. Sintros: I think right now, without having gone through the full projections for next year, yes, that is where we would land because of those two items. Now again, as I mentioned in my comments, the timing of Unity and some of those other things could impact that. But those are two items that are real and will cause the margins to go down. Now, we are going to work, to try to hold and improve wherever else we can the impact of our annual price adjustments and things like that. We will have to see how they shakeout. But I think you're thinking of it the right way right now.
John M. Healy – Northcoast Research Partners LLC: Okay, great. And then just last question. On the acquisition side, it sounds like you used the word acquisitions I feel like a few more times then you normally do in your prepared remarks. Is there a way of thinking about the pipeline and the activity and as well as the size of opportunities that you see out there? Are they relatively small opportunities or are there some mid-size or some large-size opportunities that could be kind of on the block out there?
Ronald D. Croatti: Okay John, this is Ron. Every day, every week we’re always looking at talking to people whether we are sending letters or conversations or visiting. And the answer to your question, there's companies $3 million to $5 million are out there and there's some companies in the $25 million to $35 million range. And it all comes down to, as I have stated before, in the inheritance issues, the tax issues and the third generation in the business, how well they’re getting along. And those are the factors we have to deal with and we are out there looking at them and we are not the only ones out there on the Street, I can tell you that.
John M. Healy – Northcoast Research Partners LLC: Got you. I appreciate that. Thank you, guys.
Ronald D. Croatti: Thank you.
Operator: Our next question comes from the line of Joe Box with KeyBanc Capital Markets. Please go ahead.
Joe G. Box – KeyBanc Capital Markets, Inc.: Hey, good morning guys.
Steven S. Sintros: Good morning.
Joe G. Box – KeyBanc Capital Markets, Inc.: Steve, I think you said that wearer additions were negative sequentially but up year-over-year. I guess to me that seems a bit surprising given the weather and some of the macro challenges we had earlier in the year. Any trends that you noticed on this front or any particular industries that maybe we could point to that would have driven that down sequentially?
Steven S. Sintros: I just to clarify, they were down in the third quarter compared to last year's – well, they were down in total dollars in the third quarter. So when I said down in the third quarter I meant they were negative, not down sequentially. They actually were slightly better than the second quarter. And they were better than the prior year. So I may have given a misconception that they were worse than the second quarter.
Joe G. Box – KeyBanc Capital Markets, Inc.: Okay, perfect. So that is a good clarification. Then switching gears, looking at your underperforming locations that you just referenced. What do you think is really needed to fix some of those locations? Is it just a function of kind of pushing more volume through those plants or is there some operational fix that's needed or is pricing just broken in the market, what needs to happen there?
Steven S. Sintros: It’s really market share, Joe. It is no secret, it is a market share route density business. And where we have plants that run routes within 50 miles of the plant and there's a lot of volume in that market, we do very well. And that's usually where markets we have been in for a long time, have built that market share, built a better pricing profile. In some of the other markets we are not quite there yet. And we are in the markets because they are good markets, they are big markets, they are markets where we're servicing national accounts, but we don't have quite the volume of local business to fill in the routes nice and tight. And that is what we're investing in sales on and that's where we’re looking for acquisitions. So, some of them are as simple as that. There are always markets that are going to be challenging. Some of the big cities are more price sensitive and anyway we always have management improvements we're trying to make, but it’s really that market share issue.
Joe G. Box – KeyBanc Capital Markets, Inc.: Great, thanks for that, Steve. And maybe just one final high-level question for you. I'm sure you guys are looking at budgeting for FY 2015. Just in talking to some of your customers and some of your internal managers, are there any reasons to be maybe more optimistic about wearer editions or pricing or just any other fundamental driver for 2015 than maybe where we stand today?
Ronald D. Croatti: Joe, this is Ron. We talk to our managers daily and we visit them quite often. We are in the field, two to three* days a week. Our guys are telling us that everything is really in the status quo. A lot has to do with the government's lack of mobility in doing anything. So business is cautious. So I would say everything is going to run pretty flat.
Joe G. Box – KeyBanc Capital Markets, Inc.: Understood. Thanks, guys.
Steven S. Sintros: Thanks, Joe.
Operator: (Operator Instructions). Our next question comes from the line of Kevin Steinke with Barrington Research. Please go ahead.
Kevin M. Steinke – Barrington Research Associates, Inc.: Good morning.
Steven S. Sintros: Good morning.
Ronald D. Croatti: Good morning.
Kevin M. Steinke – Barrington Research Associates, Inc.: Steve, I think earlier in the year you were a little more cautious about merchandise amortization costs and where they might trend. And now you commented that they are actually down as a percent of revenue this quarter. So just any commentary on what you are seeing in terms of trends there and what might be impacting that expense item?
Steven S. Sintros: Yes. No, that is a good question. I’m glad you asked because you probably have noticed that during the quarter our merchandise asset on our balance sheet trended up. It was one of the factors why our cash flows were a little softer for the quarter. And although currently our merchandise as a percentage of revenues was down in the quarter, we did put more in service in the third quarter than we did last year by a fair amount. And so it is a caution area and built in somewhat in my guidance for the fourth quarter. But as we start to get into next year it is an area of – I don't want to say concern, but it is always an area we are watching to see the levels we are putting in. And I will say over the last three months or four months we've put in more than a year ago by a fair amount. As we amortize that merchandise it takes a little while for that to come into the expense. So four months or five months of high numbers will impact a quarter or two out more than it does the current quarter. So, we haven't seen quite the impact of that yet, but it's one of our areas of caution.
Kevin M. Steinke – Barrington Research Associates, Inc.: Okay, thanks, that's helpful. In terms of the Unity system, you've talked about once it is fully deployed depreciation costs going up. What is – internally what are you thinking about in terms of timing of when that will be fully deployed?
Steven S. Sintros: Well, I think we've said kind of no sooner than the second half of 2015, I mean this is a big project; we've been working on it for a couple of years. So there is some variability in that timeline. What we've found with these big projects, as I'm sure you can appreciate, the time doesn't typically get pulled in. But we are still targeting that second half of next year. Now, that's not for full deployment, that's for beginning to deploy. With our locations we'll take a balanced approach to deploying and as we get closer we can probably give you more visibility to how long it would take to deploy across the whole country. But once we start deploying from an accounting perspective most of the investment will start to get depreciated. So you'll start to get some of that depreciation right off the bat. But as I mentioned in the question about CapEx, some of the investment we make in handheld devices for the route drivers, that will come in as you're deploying, which is going – it's going to be a phased deployment, it won't all come in – in a three-month period, it'll be over a year plus.
Kevin M. Steinke – Barrington Research Associates, Inc.: Okay, thanks. That’s helpful. And just lastly, housekeeping, what was the impact of the Canadian dollar on growth and also the acquisition impact in the quarter?
Steven S. Sintros: The acquisition impact was about 1.1%, and I am just referring to the Core Laundry Operations and those were all the acquisitions related. And the Canadian exchange rate was 0.7%.
Kevin M. Steinke – Barrington Research Associates, Inc.: All right, thanks for taking my questions.
Steven S. Sintros: Thanks Kevin.
Operator: (Operator Instructions) Our next question comes from the line of Andrew Steinerman with JPMorgan. Please go ahead.
Andrew C. Steinerman – JPMorgan Securities LLC: Hi, could you just talk about what your core laundry organic growth is implied in the fourth quarter within the guidance? And do you feel like the tone of Core Laundry business is steady or do you think it's improving?
Steven S. Sintros: In the guidance, Andrew, it assumes similar to what we did in third quarter maybe a tick higher depending on what happens with the Canadian rate and so on. But it's in that range. As far as the tone, I think the second quarter with the winter and so on things were a little bit depressed and we did bounce back in the third quarter. We have had stronger sales than a year ago. So I think we look to continue that trend in the fourth quarter. And I think, as Ron and I mentioned, the sales were a little bit better, retention has been a little bit better and so that's helped.
Andrew C. Steinerman – JPMorgan Securities LLC: Great. And when do annual price increases usually kick in, which time of year?
Steven S. Sintros: Right around the beginning of our fiscal year. That can vary a little bit by a couple weeks here or there.
Andrew C. Steinerman – JPMorgan Securities LLC: And just to make sure I understand the 4.8% core laundry growth. Is that a constant currency number? Or if I want a constant currency number I have to take the 4.8% and add 0.7%?
Steven S. Sintros: The 4.8% is if you exclude the impact of acquisitions and currency.
Andrew C. Steinerman – JPMorgan Securities LLC: Okay, so it is a constant currency number?
Steven S. Sintros: That's right, that's right.
Andrew C. Steinerman – JPMorgan Securities LLC: Okay, perfect. Thanks for the help.
Operator: I’m showing no further questions registered at this time.
Ronald D. Croatti: We would like to thank you all again for your interest in our Company. Look forward to speaking with you in the fall when we'll be reporting on UniFirst's fourth quarter and year-end results for fiscal 2014. Again, thank you, and have a great holiday.
Operator: Ladies and gentlemen that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.